Operator: Good afternoon. Thank you for joining today's call. With me today are, George Colony, Forrester’s Chairman of Board and CEO; Mike Doyle, Forrester’s Chief Financial Officer and Mike Morhardt, Forrester’s Chief Sales Officer. George will open the call and Mike Doyle will follow George to discuss our financials. [Operator Instructions]  A replay of this call will be available until March 27, 2013 and can be accessed by dialing 1-888-843-7419 or internationally 1-630-652-3042. Please reference the passcode 5077393#.
 Before we begin, I would like to remind you that this call will contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Words such as expects, believes, anticipates, intends, plans, estimates, or similar expressions are intended to identify these forward-looking statements. These statements are based on the company’s current plans and expectations and involve risks and uncertainties that can cause future activities and the results of operations to be materially different from those set forth in the forward-looking statements.
 Some of the important factors that could cause actual results to differ are discussed in our reports and filings with the Securities and Exchange Commission. The company undertakes no obligation to update publicly any forward-looking statements whether as a result of new information, future events or otherwise.
 And now I'll turn the call over to George Colony. 
George Colony: Thank you for joining the call. I will give a quick recap of 2012 followed by a look ahead to 2013. I will then introduce Mike Morhardt, Forrester’s new Chief Sales Officer, who will say a few words about sales and following Mike’s remarks, Mike Doyle, our CFO, will give a full financial update. We will then take questions.
 I would like to start off by quickly summarizing 2012. As I talked about on the Q3 call, we took the company through a series of transitions last year. While many of these changes position Forrester for long-term success, there were execution miscues primarily in sales. Revisions to sales compensation, territories and accounts increased sales force attrition and lowered productivity, ultimately resulting in attenuated sales results.
 We undertook some complex changes too quickly generating internal friction that ultimately slowed down not only sales, but associated elements of the business. These moves lowered our bookings in 2012 and as you know, those results now flow through to our 2013 plan and guidance.
 Despite the problems of the year, our renewal rates remained strong throughout 2012. We continued to have impressive new business wins, including Johnson Controls, Ralph Lauren and Random House. Large companies continue to need what Forrester creates. Technology and marketing executives remain challenged by emerging dynamics like the web-to-app transition, mobile engagement and integrated customer experience.
 At the World Economic Forum in January, I was once again struck by how many global CEOs know Forrester and use our research in their operations. So, yes, there were some bumps in 2012, but we're addressing our challenges and fixing our problems. The opportunity remains large and the brand remains strong.
 I would now like to turn to our plans for 2013. More specifically, I want to address 4 areas. Number one, company leadership; two, growth; three, differentiation and finally, four, the use of capital.
 Turning first to leadership. For 2013, we have streamlined the executive team to speed up operations. Tom Pohlmann, the company’s Chief Marketing and Strategy Officer, has dedicated his team to ensuring that we stay aligned to our long-term goals and continue to build out the role-based strategy. His efforts will sharpen our decision making and our execution.
 Mike Morhardt, who you will hear from in a few moments, has taking control of the sales organization. Mike has decades of experience in the syndicated research business and has a strong vision of how Forrester will build a world-class sales force. He has done much in his first 90 days at the company.
 Mike Doyle, who many of you know personally has extended the CFO role to become a more active player in the day-to-day operations of the company. I am energized and excited to be directly leading the company again and I feel very well-supported by operationally strong heads of strategy, sales and finance.
 I would now like to turn to areas of growth in the company in 2013. While revenue is expected to grow just 1% based on 2012 sales, we are planning to increase bookings by 8% to 10% in 2013. Headcount in the sales force will expand by 10% and that’s lower than our long-term rate of 15% to 20% but exceeding our increase of 6% last year. Growth in sales this year will shift revenue upward in 2014.
 The company will grow its technology and social footprints this year. Following the launch of the newforrester.com in March of 2012, traffic, downloads and return visits trended upward throughout the year. There were 9 new releases of forrester.com in the last 9 months. We are intensifying the update schedule to make the site easier to use and more valuable to our clients. This will drive increased visits and usage.
 We are also planning continued growth for our social technology; analyst blog posts had over 592,000 page views and over 33,000 user recommendations in the fourth quarter of 2012. There are now 102,000 members of Forrester’s world communities and that’s up 213% in 2012. Our goal is to aggressively promote social membership in 2013.
 I would now like to turn to the company’s differentiation and this is manifested on several levels, starting with data. As you know Forrester Research is uniquely based on nearly 20 years of consumer research and we brand this as Consumer Technographics. We fielded 43 surveys in 2012 with a total of 330,000 completed responses and that's a number we expect to increase to 420,000 in 2013. Our consumer data now covers 21 countries in North America, Europe and Asia. Our research now extends to urban China, urban India and also to Russia.
 Technographics data informs many research streams. As an example, Forrester’s Customer Experience Index or CXI rates 154 brands across 14 industries for quality of experience. Hotels and retailers ranked highest, with internet service providers and health insurance providers ranked lowest. Customer-experienced professionals, CMOs and other roles use this research to refine products and to benchmark against competitors.
 In 2013, we are focused on enhancing and adding to our proprietary data models. Specifically, we are launching consumer online communities to gather qualitative insights from buyers, using more of the "why" behind their behavior and attitudes. Because Forrester possesses decades of longitudinal data, our uniqueness in the consumer data space cannot be replicated.
 Our secondary differentiation lies in our playbook approach to solving client’s problems. Unlike reports which give a snapshot in time, playbooks uniquely guide companies through each phase of an initiative: discovery, planning, acting and optimizing. Examples of currently-available playbooks include the Marketing Mix Optimization Playbook -- this helps CMOs coordinate media platforms. And the CIOs Mobile Engagement Playbook -- step by step advice for the CIO on how to implement an effective mobile strategy.
 39 complete playbooks are now live. Our library of playbooks will double in 2013 and the number of tools associated with playbook reports will expand by 50% during the year, continually increasing the value and application of playbooks to clients' specific challenges. And unlike traditional research content, playbooks will be continually updated and refreshed, keeping them relevant at all times. 
 A third area of differentiation is our ability to help executives in technology and marketing work together. Challenges like mobile and customer experience require the synchronized actions of technologists and marketers in large companies.  Only Forrester is positioned to facilitate this collaboration. 
 I would like to finish up now with a short discussion of Forrester’s use and management of capital. As you know, our business model yields healthy levels of free cash flow. Over the last several years, we have taken steps to return excess cash to shareholders in the form of stock buybacks, a one-time dividend and an ongoing dividend.
 Our goal has been to increase shareholder value through more efficient management of our assets. Our cash position at year end 2012 was $243 million. On the Q3 call, we announced that our board had approved a $100 million buyback to be executed over a 12 month period.
 The board has now increased this authorization by $50 million. We are now revising our timetable and we expect, through an accelerated buyback strategy, to purchase between $100 million to $150 million of our shares by the end of the second quarter. Our goal is to build a balance sheet that typically carries between $50 million and $100 million in cash. These funds will be used for ongoing operations, new initiatives and acquisitions. In addition, we expect to continue to deliver cash back to shareholders through our ongoing dividend and share buybacks. 
 So to conclude, while our financial guidance for 2013 may be modest, we are making many of the right moves to position the company to achieve its long-term goal of 15% to 20% revenue growth and a sustained operating margin of 17% to 19%.
 This year will be one of stabilization which will put us in position for accelerating growth in 2014 and 2015. I'm now very pleased to introduce Mike Morhardt, and Mike is the new CSO at Forrester. Mike has a very distinguished record in research sales and I'm very glad that he has chosen to join Forrester and to lead sales of the company. Mike? 
Mike Morhardt: Thanks, George. As George mentioned, I joined Forrester in mid-November. I joined the firm for many reasons but chief among them is my belief that the brand, the products and the IP are incredibly strong, the market opportunity is enormous, but the execution, specifically within the sales organization, was subpar.
 I viewed it as an opportunity to impact the business based on my previous experience. Since I've joined my belief in the organization and the market opportunity has not changed. We have a target rich environment to improve sales productivity, clients need us and the market opportunity is as big as ever.
 We are making the necessary changes with more to come. Shortly after I joined, we began to work on some of the challenges we faced in 2012. I would like to highlight some of them and how we are addressing them. They are sales attrition, client transition and territory design.
 First off, sales attrition. In 2012, the sales force attrition was a serious issue. The situation had significant impact on Forrester reaching our sales productivity and bookings goals. The primary driver for the sales force turnover was an overly complex sales compensation plan that was put in place at the beginning of 2012. While some adjustments were made mid-year of 2012, the damage was already done.
 Open headcount drove poor productivity which led to poor second half results. To address the situation, we needed to fix the comp plan. So shortly after I joined, we were able to pull together a group of key personnel to review the different sales compensation options. The result was a new simpler comp plan that was well-received by the sales organization.
 The sales force now has a detailed understanding of how they will be paid and how to overachieve their number. Very early indications are that attrition is falling in every area of the sales organization. We will need to do more to ensure that we continue at these levels.
 The second challenge we faced in 2012 was client transition. As George mentioned, the sales organization went through a major reorganization in 2012 which led to roughly 55% of our clients and prospects being transferred between sales people. This caused issues around our retention, enrichment and new business results.
 To address this issue, we eliminated all client transitions unless approved by me. The rules surrounding client transitions are now in place and the number of transitions since I’ve joined has dropped into the very low single-digits. This will allow sales people to develop stronger relationships with their existing clients, improve retention and enrichment opportunities. This will also allow sales people to develop over time stronger, more predictable new business pipelines.
 The third immediate challenge that we faced was the deployment of our sales headcount. Territories were not designed to drive optimal amounts of growth per sales person. Essentially, we were not placing our bets on the best opportunities for growth. We have now adopted a process to review each and every headcount and begin to deploy our sales talent in the markets with the greatest opportunity.
 This will be an ongoing process that we will dedicate a significant amount of time and resource. In closing, the market for Forrester services is as strong as ever. Our results in 2012 reflect a suboptimized strategy and execution that led to poor performance. The silver lining here is that the result of this performance was a result of self-inflicted wounds that are correctible.
 We are focused on stabilizing the sales organization and building out our team to take advantage of this tremendous market opportunity. I want to thank you for your time and I would like to turn it over to Mike Doyle. 
Michael Doyle: Great, thanks very much, Mike. I will now begin my review of financial performance for Forrester’s fourth quarter results, the balance sheet at December 31, our fourth quarter metrics and the outlook for the first quarter and full year of 2013. Please note that the income statement numbers I am reporting are pro forma and exclude the following items: Amortization of intangibles, stock-based compensation expense, duplicate lease cost, reorganization costs, acquisition and integration costs and net gains from investments. Also for 2012, we utilized an effective tax rate of 39% for pro forma purposes. The actual effective rate for the full year of 2012 was approximately 19.3%.
 For the fourth quarter, Forrester met revenue, pro forma operating margin and EPS guidance. Our key customer retention metrics continue to perform at healthy levels and our balance sheet remains strong with cash and marketable securities increasing 7% from December 31, 2011.
 As George and Mike mentioned in their comments, the ambitious changes we implemented with the sales organization in the beginning of 2012 were not executed effectively, resulting in heavy sales attrition in the first half of 2012. The impact of losing experienced sales reps has a predictable impact on our business in the form of reduced bookings activity which results in reduced revenue. The tail on revenue loss can run 12 to 18 months as new reps ramp to their full potential.
 The good news is that attrition appears to have peaked in the second quarter and sales hiring has picked up. Our brand and products are strong as evidenced by our client and dollar retention metrics. Mike has brought stability and discipline to the sales team and we are confident we are back on a path to growth.
 As we entered 2013, our energy and efforts are focused on sales execution as we believe we have the right products for our clients and the market is healthy.
 Now let me turn to more detailed review of our fourth quarter results. Forrester’s fourth quarter revenue increased 1% to $75.1 million from $74.7 million in the fourth quarter. The fourth quarter research services revenue increased 3% to $51.9 million from $50.5 million last year and represented 69% of total revenue for the quarter.
 We continue to see growth in our largest syndicated products, RoleView and Leadership Boards. Fourth quarter advisory services and other revenue decreased 4% to $23.2 million from $24.1 million in the fourth quarter of 2011 and represented 31% of total revenue for the quarter.
 The variance from prior year was due to consulting shortfalls resulting from analyst attrition. Our international revenue mix was 28% for the period ending December 31, 2012 which is down from 31% in 2011 due to a soft macro economy in Europe and sales changes.
 And now I would like take you to the activity behind our revenue starting with research. We continue to make progress with developing playbooks with 9 rolled out in the fourth quarter, bringing the total to 39. We plan to continue expanding the number of playbooks available to our clients, with a target of 80-plus by the end of 2013.
 In the fourth quarter, 260 new research documents were added to RoleView and we hosted 45 webinars with a total attendance of 961. At the end of the quarter, the top 3 research roles were the applications, development and delivery with 4,826 members, market insights with 4,719 members, and technology marketing with 4,043 members. Forrester Leadership Boards, our peer offering for senior executives, achieved year-over-year revenue growth, up 5% in the fourth quarter. At the end of the fourth quarter, the Forrester Leadership Board had 1,874 members, down 2% from December 31 of 2011.
 As George mentioned, our data business continues to be a critical part of our value proposition. Our continually-refreshed data covers more than 75% of global GDP. This gives our B2C and B2B clients current and actionable insights on 1,400 brands and 300 attributes. It also gives our analysts the most accurate and timely facts they need to drive their research forward.
 In our consulting business we saw growth in the total pool of business booked but not delivered. Despite that, we saw consulting revenue decline 6% for the fourth quarter of 2012. The decline in revenue is due primarily to the attrition of analysts. We continue to focus attention on our consulting productivity and structure moving forward.
 For events in the fourth quarter, we hosted 8 events in the U.S. and Europe. These included 3 M&S role-based events. The ebusiness and Strategy Forum in the U.S., our first Customer Experience Forum on the west coast and our first European Customer Experience Forum. We also hosted 4 business technology role-based events targeting application development and delivery professionals in the U.S. and EMEA, as well as forums for business process professionals in the U.S. and EMEA. And finally we hosted a forum for CIOs in the U.S.
 During 2013, we will be making a number of changes to our events business, with a goal of significantly improving the client experience. We will focus on fewer, better and bigger events with 19 scheduled for 2013. 
 I will now highlight the expense and income portions of the income statement. Operating expenses for the fourth quarter were $65 million, up 9% from $59.6 million in the fourth quarter of 2011, due primarily to employee bonus payments which were 0 in the fourth quarter of 2011 and reflect a partial payout in the fourth quarter of 2012. Total headcount increased 1.5% as of December 31, 2012 as compared to the fourth quarter of last year.
 As of December 31, we had a total staff of 1,236 including a research staff of 432 and a sales staff of 451. Research headcount declined due primarily to analyst attrition from our former TI client group as well as our M&S client group. In M&S much of the analyst attrition is due to the popularity of this segment and the client’s desire to add staff in-house. Operating income was $10.1 million or 13.4% of revenue compared with $15 million or 20.1% of revenue in the fourth quarter of 2011.
 Other income for the quarter was approximately $0.4 million, which was consistent with the fourth quarter of 2011. Net income for the fourth quarter was $6.4 million and the earnings per share was $0.28 on diluted weighted average shares outstanding of 22.7 million, compared with net income of $9.2 million and earnings per share of $0.40 on 23.1 million diluted weighted average shares outstanding in the fourth quarter last year.
 And now I will review Forrester’s fourth quarter metrics to provide more perspective on the operating results for the quarter. Agreement value, this represents the total value of all contracts for research and advisory services in place without regard to the amount of revenue that is already being recognized. As of December 31, 2012, agreement value was $220.4 million, a decrease of 0.3% from the fourth quarter of 2011.
 For client metrics, as a reminder, we streamlined and improved our client count methodology beginning in the second quarter of this year. Our refined system counts as a single client, the various divisions and subsidiaries of a corporate parent and eliminates duplicate references to the same corporation. The system also aggregates separate instrumentalities of federal, state and provincial government, which differs with our past practice for government entities. The change resulted in a combination of entities that were previously treated as separate clients.
 At the end of the fourth quarter, our total for client companies was 2,462, a decline of 1% versus the fourth quarter of 2011. Client count, unlike our retention and enrichment metrics, is a point in time metric at the end of each quarter. At December 31, 2012, Forrester’s retention rate for client companies was 77%, which is down 1% from September 30, 2012 and our dollar retention rate during the same time period was 90%, also down 1% from the prior quarter but remaining at historically high levels.
 Our enrichment rate was 95% for the period ending December 31, 2012 versus 96% at September 30, 2012. We calculate client and dollar retention rates and enrichment rates on a rolling 12 month basis due to the fluctuations which can occur between quarters with deals that close early or slip into the next quarter. The rolling 12 month methodology captures the proper trend information. As of December 31, 2012 there were 2.6 rolls per client, flat to the prior quarter.
 Now I would like to review the balance sheet. Our total cash and marketable securities at December 31 were $242.7 million, up $15.1 million from our year-end 2011 balances. We generated $53.1 million in cash from operations during 2012, which is down from $55.4 million from the prior year. We received $11.2 million in cash from options exercised in our employee stock purchase plan for the full year 2012.
 For the 12 months of 2012 we repurchased 943,000 shares at a total cost of $29.8 million. For the full year of 2011, we repurchased 527,000 shares at a total cost of $18.4 million. We also paid our fourth quarterly dividend which amounted to $3.1 million or $0.14 per share in the quarter. For 2012 we have paid $12.6 million in dividends. Accounts receivable at the end of the year December 31, 2012 was $74.6 million compared to $81.4 million as of December 31, 2011. Our days sales outstanding at December 31, 2012 was 59 days down from 61 days at December 31 of 2011 and accounts receivable over 90 days was 3% at December 31, 2012 down from 5% at the end of last year.
 Our capital spending for the fourth quarter of 2012 was approximately $0.3 million compared to $6.6 million during the fourth quarter of 2011. Capital spending for the year was $5.1 million versus $39.8 million for 2011. If you recall, the 2011 capital spending reflects the investments in leasehold improvements associated with office relocations, primarily our new headquarters building in Cambridge.
 Additionally, the prior year includes the investment related to our new website and other customer-facing technology. Deferred revenue at December 31, 2012 was $150.5 million, up 2% over December 31, 2011. Deferred revenue plus future AR, a key indicator of future performance, was up 1% year-over-year. Our future accounts receivable balances are amounts to be invoiced in the future for clients with multi-year deals or scheduled payment terms.
 Before I discuss our outlook for the balance of the year, I would like to talk about our capital structure and our plans to leverage our balance sheet. We believe the long-term prospects for this industry and company are extremely healthy. As such, our first priority remains continued organic investment. In addition to organic investment, we continue active exploration of inorganic opportunities, but as we’ve said before, we believe in the importance of strategic fit and sensible valuation.
 At present, we believe our balance sheet is more than sufficient to support our short and medium term organic and inorganic efforts. The fundamentals of our business are strong and combined with structural changes we put in place this year to ensure long term growth, we believe our share price is undervalued based on recent performance. We believe that $50 million to $100 million on our balance sheet, augmented by short term borrowing when necessary, will support ongoing investment in our business and allow for acquisition opportunities. In order to bring our balance sheet in line with these targets, Forrester’s Board of Directors has increased the share repurchase authorization to $150 million and asked that the company engage an investment banker to explore alternative means to accelerate the company's repurchase program.
 Our 2013 outlook. Before I get into a more detailed review of guidance, I want to comment again on the impact of the changes implemented in early 2012 on the sales organization. At the beginning of 2012, we had 260 quota-carrying sales reps. Of the 260 quota-carrying reps, 239 were fully ramped, meaning they were on board, completely trained and carrying a full quota.
 At the end of June 2012, we continued to have 260 quota carrying reps, however, due to attrition only 214 were fully ramped; a significant change when an average fully-ramped sales person carries a quota in excess of $1 million. By the end of 2012, we increased quota-carrying reps to 274. More importantly, 239 of them were fully-ramped reps, a significant bump for mid-year and returning to prior year levels. This dynamic can't be underestimated as we look at revenue projections for 2013. We are continuing to build our sales team and attrition continues to decline, which will result in stronger bookings and revenue as the year progresses.
 Now I would like to review our guidance for 2013. As a reminder, our guidance excludes the following: Amortization of intangible assets which we expect to be approximately $600,000 for the first quarter and approximately $2.3 million for the full year 2013. Stock-based compensation expense of $1.9 million to $2.1 million for the first quarter and approximately $5.7 million to $6.2 million for the full year 2013. Reorganization costs of $1.5 million to $1.8 million for the first quarter and full year 2013, and investment gains and losses.
 For the first quarter of 2013, we are aiming to achieve total revenues of approximately $66 million to $69 million, pro forma operating margin of 5% to 7%, pro forma income tax rate of 39% and pro forma diluted earnings per share of approximately $0.09 to $0.13.
 For the full year, we are targeting total revenues of approximately $290 million to $298 million, pro forma operating margin of between 9.5% and 10.5%, other income of approximately $0.8 million, a pro forma income tax rate of 39% and pro forma diluted earnings per share of $0.79 to $0.86. We provided guidance on a GAAP basis for the first quarter and full year 2013 in our press release and 8-K filed today.
 Thanks very much for listening and I am going to ask Mike Morhardt to join George and me for the question-and-answer portion of the call. I will now turn the call over to the operator to begin our Q&A. 
Operator: [Operator Instructions] Timothy McHugh from William Blair is online with a question. 
Timothy McHugh: First, I guess, just to be clear that the updated guidance does not include, I am assuming, the accelerated buyback that you might pursue middle of this year? 
George Colony: That’s correct, Tim. Our weighted average shares outstanding essentially assumes that we would continue normal open market purchases in a more aggressive way than we had done in 2012, but does not reflect anything that might occur as a result of engaging the banker and coming up with a more accelerated program. 
Timothy McHugh: Okay. And then, Mike, I just want to ask, if you can maybe give us a little bit of view of, what you, I guess maybe, why have you come in that surprised you or what have you done that kind of really changed the course; you know, I guess, some of the things you described are things I think we had heard from management in terms of needing to fix the comp model and have less coverage changes for people. They talked about that, I guess so, were they on the right path when you came in or is there anything that you came in and said we should be doing differently? 
Mike Morhardt: I think it was multiple things that were a little bit surprising when I first joined. I think the thing that stuck out to me, first is, they did make some material changes to the comp plan, but I didn’t think it went far enough. You know, the core of this issue is sales attrition and for a salesperson to be effective and to be happy, they have to understand how they are going to get paid, and it was even if its form at the second half of 2012, it was pretty complex. And we brought in a lot of the sales organization into that conversation so when we did release it, we knew we were releasing it to a group that was knowing what they were going to get, which was great. There are pieces that around territory management and territory design that differ quite a bit from the way I kind of look at things, which is getting sales people closer to their clients to ensure that they are able to build those relationships. There is a bunch of changes that we'll make on the new business side and how we go after new business. So those are some of the bigger things, a lot of those things have begun. We are going to spend a lot more time making decisions based on actual analysis in the sales organization. I think it was done in another parts of the reorganization. To be fair, I think a lot of the decisions that we made were based on hunches and maybe some prior experience with another organization. 
Timothy McHugh: Okay, that's helpful. In the stans [ph] comp model, I think the -- some of the thought process which behind some of the old changes was, there wasn't enough variability between kind of high performers and low performers and that people kind of got compensated too much just for renewal activity, how does the new comp model look relative to that? Did you continue that kind of theme or I guess along those lines what changes? 
Mike Morhardt: Yes, I think it may have just gone too extreme, where an individual might work on a series of renewals that might represent 90% of their overall territory and not get paid a dollar on it, until you hit a certain threshold that was when you are going to be paid a greater percentage. So depending on how your territory was laid out for the year, you could run into some significant cash flow issues, if you didn't have renewals set in a particular quarter, it could cause from cash flow issues for the sales organization. So we may have smoothed it out a little bit. Make no mistake, we are going to and continue to reward those reps that perform at the highest levels. They will make a great living. This was more about as they were trying to get through the course of the year, the cash flow associated with this particular comp plan caused some big issues and which resulted in the attrition issue. 
Timothy McHugh: Okay, and then just the expectations for 2013, bookings growth and the kind of the sales force growth are about the same, implying you don't expect much of an improvement in sales productivity and I guess you're just hoping it stabilizes during the next year? Is that fair? 
Mike Morhardt: I am hoping that it's going to get better, and I think some of the things we have already done around client transition, some of the things that we're doing as far as trying to move our sales teams closer to their clients, we will see results on that. But to be fair I think one of the things we have to do, is we have to do a more detailed analysis of where we are going to place our bets. We don't want to make some of the same mistakes of the past and just sort of place people where we think there is a good opportunity; we want hard data that tells us this is the optimal territory for this person to be successful. We are also -- I put a stop to hiring for a brief period, so that we could take a look at our hiring practices and how we were sourcing these particular sales people that were joining us. And I wanted to ensure that -- who was coming through the door: one, they were the right people; two, that we had the right training program; and three, that we could give them an opportunity for them to be successful. And some of those pieces were missing at various levels. 
George Colony: In fairness, in the way our targets and our guidance are built, does assume I would say a modest level of productivity improvement, not a significant jump and I think frankly that was one of the other things that we layered on to the sales team last year that added to the headache in addition to all the other changes we did at the beginning of the year. So the idea is go slow, focus on the execution, the momentum will build and ideally to Mike’s point we actually, we’ll beat that and the results get better but I think in terms of setting the stage it just -- the targets assume modest levels of productivity not dramatic improvements. 
Operator: Dan Leben from Robert W. Baird is online with a question. 
Daniel Leben: Again for Mike, just help us understand and reconcile, the slowing of client transitions with the proper deployment of sales people -- is the deployment issue more about new hires than it is the current base and just help us understand the potential conflict there? 
Mike Morhardt: So, one of the things that the sales organization went through last year is that we talked about the comp plan but there was material change in individual territories. And so, it got them off to -- and that change didn't take place until after Q1 because they were allowed to call on their old territories for a period of time. And so what we wanted to do is ensure that we got off to a fast start. So we didn't make any changes to individual territories. That remained stagnant so to speak and so that they could -- the territory they had at December 31 was going to be the one that they were going to have on January 1 and allowed them to get off to a fast start. As we move forward, we will start to change people’s territories with the following sort of caveats in place, which is if somebody should leave or if the territory becomes too large, we will introduce a new person into that particular market. And that's not necessarily breaking any rules around client transition because if they were leaving or being promoted, that's a natural sort of transition that would take place. We also are trying to purify the types of accounts so that the sales people can become more effective on who they are calling on. Many of the reps right now have a combination of both users and vendors as part of their territories and the more we can simplify it to one type of client that they are calling on, the more effective they will be. And so as we approach some of these markets, we are looking to purify that and the conversation there would be a much more thoughtful transition with those clients, letting them know that you are going to have somebody who is specialized in their type of a client and then we do it post-renewal and we do it in a thoughtful way with the client aware of what we are trying to accomplish. 
Daniel Leben: And just at a high level -- I'm a sales person at Forrester and I want to end up with a good number for the year, how am I thinking about focus between going out and bringing in new clients, cross selling and product [ph] enrichment versus maintenance. Do I have to kind of do all the pieces, kind of really focus on one or the other? Help me understand what that dynamic looks like. 
George Colony: Well, to be fair, people can do it a number of different ways and people do. I think the most successful reps realize that it’s easier to get an existing client to spend with you and to ensure that you get that renewal. You don't want those dollars going out the door. So I think most people approach it -- and the more successful reps approach those renewals and to make sure those are solidified and then look for opportunities within those organizations to enrich -- whether it’s new buying centers or additional products to the same buying center. We do have a new business team that focuses on new logos and we are in the process of reviewing those teams and how they are deployed and where they are most effective. And over time, there will probably be changes on how they focus on this new business opportunity. We want them focused where they are going to have the greatest impact and the shortest sales cycle. So there are different types of sales roles and how you get your number is dependent on that role, but in most cases, the sales people that have been most successful realize that client retention is absolutely critical and that if you've built that client retention, you have a greater likelihood of being successful in hitting your number. 
Daniel Leben: Great and then for Mike Doyle, I know you don’t like to dig into the metrics too much, but have you taken a look to see what the client enrichment and retention numbers look like in the 45% of the client base that didn’t change sales reps? 
Michael Doyle: It's a good question, Dan. I would say a couple of things. It's interesting that we look internally and I am going to assume that this is a good surrogate for peeling back enrichment. But if we look at clients where we had the best bookings' growth and sort of what the old space was, it was still primarily our vendor business, which we didn’t change much. The way the sales organization worked, the emerging business, which is primarily our vendors, had a great year. Kelley Hippler, I think was on the last call that you guys heard from, she had a great year and a part of it was, I think she is a phenomenal sales executive but the piece of it is, we had very little change in account reps and clients and I think that helped us a lot, and so that’s where we saw sort of our best metric. So I think that Mike is absolutely spot-on in terms of what our challenges are, and by sort of stopping this and bringing ourselves sort of back to some sanity and not changing out clients, we are going to get the kind of improvement and enrichment that we need and retention. So I think there is something to it, Dan, and certainly as we look at it and peel back, better bookings performance it almost always correlates nicely with people who didn’t transition, frankly at all. 
Operator: [Operator Instructions] Brian Murphy from Sidoti & Company is on line with a question. 
Brian Murphy: Mike, just on the guidance for Q1, looks like the guidance implies the worst sequential decline in revenue since March of 2009. When I look at the numbers sort of September to December of 2012, it looks like things stabilize and actually turned up a little bit in the fourth quarter. You had mentioned that attrition had spiked kind of year. So I am just trying to reconcile why things seem to be improving here in the fourth quarter and why they would start to deteriorate again here in the March quarter. Was there anything around the December quarter renewal cycle there? 
Michael Doyle: No, nothing -- not anything around there Brian. I think where we are nervous a little bit on -- consulting onetime continues to sort of -- we're taking, I think, a cautious posture there. It always difficult to figure out how the first part of the year is going to play out. And, no, I didn’t see anything that in the fourth quarter that would suggest that that’s creating the issue. I think it’s more as we look at it, trying to play out our performance. It’s really just being a little bit cautious around consulting and one-time revenue and we will see that where plays out. We have given ourselves a little bit of a wider berth and it’s a tough one to break. Syndicated is what it is. I mean, as we build out our targets, particularly in the first quarter, we have a pretty good handle on where that’s going to be. So it’s really around the one-time. 
Operator: [Operator Instructions] Vincent Colicchio from Noble Financials is online with a question. 
Vincent Colicchio: On the research side, is there anything you have done to try to address the attrition there and should we expect that to improve early next year? 
Michael Doyle: Yes, Vince, it’s a good question. And what we did -- we did a number of things and similar to on the sales side, we took a hard look at compensation as being sort of the first place to look, right. And we did make changes to variable compensation for our research -- for our analysts around a program we used to call Pay for Performance and we've modified that. I think in a way it is -- has been well received by our research community. So that went into effect beginning in January. So I think we absolutely have made moves there and I think that's frankly going to pay some benefits. I don’t know George if you have other things on your research... 
George Colony: I think the fact that the competition for research is now more individual-based rather than -- less risk. I think that, that is going to help, and I also think, just kind of an uber-view of this is that just confidence in the company. I think with Mike arriving, a very good kick-off in January which many people in research were involved in, I think that there is a feeling of confidence returning to the research staff and I think that is going to help protection as well. 
Vincent Colicchio: And on the competitive landscape has there been any response just from some of your competitors to try to take advantage as you go through this rough spot? 
Michael Doyle: They take advantage, they... 
Vincent Colicchio: As much as they can.. 
George Colony: Vince, when we used to grow -- when we were growing at 60% a year, they were saying, "Oh, they are growing too fast" and that, that's a disadvantage. So you always expect it. This is not our first rodeo, we like to compete, we like to be competed against and it just comes with the territory. 
Michael Doyle: An observation I would have, I'll let Mike add too. But an observation I would have when I look at -- despite what we did to our client in some respects by changing out a significant number of their sales reps, the fact that our client retention metrics are so good, speaks volumes to the brand and the research and the products that we deliver. So I think from our perspective now with Mike coming on board bringing stability, and now our client's going to have a rep that they had a year ago and we are going to continue to build that relationship. I think we've got a lot of room to go and it's not to say we don't have a very aggressive competitor, but the reality of it is, even in our darkest moments our client retention metrics are still holding up extremely well. So we are moving in the right direction and we are going to further solidify those relationships and what Mike’s doing. 
Michael Doyle: And frankly from my standpoint, I'm rather inspired by our competitors. They are all doing quite well. You know our market is obviously healthy, there’s great demand for the type of products that we create, and so we are in a good business and so I appreciate that. 
Operator: We have no further questions. Mr. Doyle do you have any final remarks. 
Michael Doyle: No, thanks very much, everyone, for joining the call. Obviously we will be out on the road and meeting with investors and trying to continue to bring more, basically give you more -- better view into what's going on for 2013. So thanks very much. 
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.